Operator: Good day, ladies and gentlemen and welcome to JDSU’s fiscal 2009 fourth quarter and year end earnings conference call. My name is Amicia and I will be your operator for today. At this time all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) I’d now like to hand the call over to Ms. Michelle Levine, Director of Investor Relations. Please proceed Ms. Levine.
Michelle Levine: Thank you operator and welcome to JDSU’s fiscal 2009 fourth quarter and year end financial results conference call. Joining me on the call today are Tom Waechter, Chief Executive Officer; and Dave Vellequette, Chief Financial Officer. I would like to remind you that this call is likely to include forward-looking statements about the future financial performance of the company. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from Management’s current expectations. We encourage you to look at the company’s most recent filings with the SEC, particularly the risk factors sections of our report on Form 10-Q filed May 5, 2009 and our most recent Annual Report. The forward-looking statements including guidance provided during this call are valid only as of today’s date and JDSU undertakes no obligation to update these statements as we move through the quarter. Please note that all members are non-GAAP unless otherwise stated. A detailed reconciliation of these non-GAAP results to our GAAP results as well as a discussion of their usefulness and limitations is included in today’s news release announcing our results available on our website at the www.jdsu.com. Finally, and as a reminder, this call is being recorded and will be available for replay from the investor portion of our website at www.jdsu.com\investors. I’d now like to turn the call over to Tom.
Tom Waechter: Thank you Michelle and good afternoon everyone. Let me begin by summarizing our fiscal fourth quarter results. Our revenue and operating income results were consistent with the guidance we provided, reporting revenues of $277 million and an operating loss of just over 1% as we continue to successfully execute against our stated priorities. Our book-to-bill for the quarter was one. Book-to-bill was greater than one in our AOT segment and our CommTest segment we saw improved demand from North America service providers. The CCOP book-to-bill was less than one as some optics customers continued to deplete excess inventories. Through the first seven weeks of Q1, we have seen a sequential increase in demand across all businesses. JDSU fourth quarter gross margins of 42.3% improved from last quarter due to favorable mix between the segments. Operating expenses of $121 million were down for the fourth quarter in a row, a reduction of $30 million from the fiscal 2008 fourth quarter. This quarter we also continued to improve our balance sheet. We grew net cash by nearly $17 million and generated nearly $10 million of free cash flow. We decreased our inventory an additional $15 million and DSOs were down by over two days. Fiscal 2009 was a challenging year, but we successfully navigated through the global economic turbulence during the year by executing against our stated priorities and initiatives which resulted in an improved financial model and a stronger product portfolio. Our improved financial model is evidenced by our improved operating model and our strong balance sheet. Our operating model reflects a $120 million reduction of our annual operating expenses, a $40 million reduction in our manufacturing overhead and a 20% reduction in our facilities footprint. In one year, we lowered our quarterly free cash flow breakeven by over $75 million to the current revenue range of $275 million to $285 million per quarter. Our balance sheet provides us with the flexibility to advance our business and sends an important message stability to our customers. In fiscal 2009 we generated cash from operations in all four quarters, generated nearly $53 million in free cash flow and ended the year with over $695 million of total cash and with our move to a more variable manufacturing cost structure, our inventories have declined by $55 million from their peak in December. Finally as a result of our investment in R&D, our product portfolio has strengthened significantly. The resulting new product introductions we believe have increased our competitive position in number product areas, and therefore we believe are well positioned to gain market share. For example in optical communications, we introduced a tunable XFP which targets both the fixed wavelength XPF and 310 pin tunable transponder markets and our super transport blade architecture generates significant footprint savings for our network equipment manufacturers. In test and measurement, we introduced our T-BERD/MTS-6000A product as well as a number of subsequent features. The T-BERD 6000 is the first portable and most compact test instrument to include 10 gigabit Ethernet and is being widely adopted by our service provider customers, including Deutsche Telecom. These customers use the instrument to support IPTV and other broadband service deployments. Looking at the market drivers, market research indicates that our end markets and long-term drivers remain strong as broadband demand continues to trend upward. According to ComScore, U.S. consumers watched 16.8 billion online videos in April, a 53% growth year-over-year. Worldwide IPTV subscribers reached 26 million in calendar year 2008 and are expected to grow to 155 million by calendar year 2013. Social networking sites like Facebook and Twitter are driving an increase in Mobile Internet Services. To capitalize on the long term growth opportunity in our markets in fiscal 2010, we will continue to focus on our priorities which I introduced at the beginning of this calendar year. These priorities will enable us to further differentiate ourselves, increase our leadership position in the markets reserve and improve our financial results as economic conditions improve in fiscal 2010.First, simplifying and scaling the business model. Our goal for 2010 is to compete our contract manufacturing outsourcing initiatives as we move to a more variable cost model. Second is our continued focus on innovation. The tunable XFP super transport blade and T-BERD 6000 are just a few examples of disruptive technologies introduced by JDSU in fiscal 2009. In 2010 we will continue to invest in profitable market based innovation. It is our goal to increase the percentage of revenue for products that are less than two years old to greater than 50% over the next three years. To maximize our R&D investments, we are utilizing resources in low cost environments. For example, we are outsourcing some R&D to Eastern Europe and India and expanding our development teams in Asia. The third priority is increasing our global market presence. We are placing more emphasis on expanding our market penetration and receiving our fair share business outside of our traditionally strong North American and Western European markets. We believe that most of our infrastructure with respect to building an international presence is already in place and will not require significant incremental investments. In fact, we are seeing this emphasis already paying off as we recently booked a $1 million test and measurement deal in Nigeria. Untapped emerging markets where basic infrastructure build-outs are taking place represent test and measurement growth opportunities. Finally, maximizing utilization of our assets, we are focusing on the utilization of our assets in order to maximize shareholder value. In fiscal 2009, we generated nearly $53 million of free cash flow. To continue to maximize our cash flow, we are focused on improving our inventory returns to six and reducing our DSOs to 60 days no later than the end of calendar 2010. Our priorities for our cash in fiscal 2010 remain generating more cash, maintaining a solid cash balance, completing our lean initiatives and strategic accretive acquisitions. In July we announced the acquisition of the storage Network Tools business, the leading provider of storage area network protocol test and services. We expect this business to contribute to operating income in the first quarter of the fiscal year. Now let’s move on to our individual business segments, first the communications, test and measurement segment. Fiscal Q4 revenues grew 5% compared to last quarter, revenue grew in North America mainly from Tier 1 customers including both telecom and cable, offset by weakness in Latin America and Europe. Book-to-bill was greater than one with bookings momentum in North America. We saw a quarterly increase in the number of deals over $1 million and at the $500,000 to $1 million level, reflecting the beginning of momentum in this business. For example, in Q4 we booked a number of large deals for the T-BERD 6000 with Tier 1 North American providers as this product continues its strong ramp. During the quarter, we won large orders for our optical network management system from several Tier 1 carriers in APAC and EMEA. In fiber test, we received a large order from a Tier 1 APAC provider for the deployment of their DWDM networks. In the telecom metro access test market, we won our largest deal in the quarter with a government customer as we continue to build our presence in the US Government, aerospace and defense market. Although fiscal 2009 was challenging for the T&M industry, JDSU’s CommTest business remained the market leader in our served addressable markets with an estimated 24% market share. Our test and measurement business has the number one market position in optical transport test, fiber field test, cable networking test and telecom access metro field test tools. In fact, our fiber optic test business accounted for nearly 20% of our fiscal year 2009 total test and measurement revenue and in the telecom test market, JDSU’s Q4 revenue was over five times as much as the nearest competitor, illustrating our leadership position in these market segments. Finally, we have the number two market share position at 23% in the high growth, 10 G Ethernet test market. As mentioned earlier, in July we announced the acquisition of the storage Network Tools business to market leader in storage area network protocol test. The Network Tools customers include the leading storage network system and component manufacturers, systems integrators as well as enterprise operating major data centers. We are excited about this addition to our test portfolio as it immediately expands our addressable market and creates a new growth opportunity from the combined test expertise of JDSU and the Network Tools business. The Network Tools business can leverage our established sales channels worldwide. The acquisition also creates the opportunity to combine JDSU’s established 40 G and 100 G test expertise with our new storage network protocol test strength to fuel product innovations such as fiber channel over Ethernet In fiscal year ‘09, our test and measurement segment introduced 64 new products including hardware, software, and new modules to support the trends in the marketplace and our customers’ needs. In addition to the T-BERD 6000A, we introduced the T-BERD 4000 this year, a multi-featured FTTx field test instrument with fiber, copper and triple play service capabilities. We continued to innovate based on strategic acquisitions. For example, we introduced a new fiber test instrument that combines a fiber optic power meter with a fiber inspection microscope to inspect for contaminated fiber, one of the most common causes of network impairment. This innovative solution which improves field technician productivity and reduces customer operating expenses was a byproduct of last year’s Westover Scientific Acquisition. In the cable network test market, we launched the MicroStealth QAM 800 digital signal level meter, a new low cost product for emerging countries and JDSU as well positioned to support our cable customers with the DOCSIS 3.0 technology rollout with hardware and software upgrades to support our market leading installed base of DSAM and path track customers as well as new stand-alone products. There is no doubt that carrier spending is currently slanted towards mobility projects. With the growth in mobile traffic, there is growth in the back haul of mobile traffic over fixed networks and there is growth in the transport network as well. All of this is supported by our advanced test platforms with Ethernet capabilities including the T-BERD MTS 6000A and HST 3000 field instruments as well as the NetComplete Wireless Backhaul test system. JDSU has the leading share in the 40 G test market. This leading share of the 40 G test market positions JDSU as the incumbent for 100 G test as customers begin to develop these solutions. Today, JDSU announced a full set of test solutions that are critical for the development, production and deployment of new 100 G networks. We have 100 G test equipment in trials with multiple network equipment manufacturers and received our first orders in July. Moving onto our communications and commercial optical product segment; first our optical communications business. In fiscal Q4 revenue declined by 11%, revenue increased in nine of our top 15 customers; however, this was offset by a decline from some customers that continued to burn off excess inventory. At this point, visibility remains low but once we see a more stabilized environment, we believe that our focused strategy of technology leadership, cost leadership and functional integration will enable us to differentiate ourselves in a very competitive market and enable top line growth. The industry continues to ask for solutions that are highly reconfigurable, giving network equipment manufacturers and service providers the ability to reduce inventory and help reduce their total cost of ownership. Examples of our leadership in reconfigurable solutions are ROADMS, tunable transponders and the photonically integrated amplifiers. Over the past year, we introduced a number of platforms that possess high functional integration. The most recent is the tunable XFP. To date we have shipped XFP beta samples to 12 customers. The feedback we have received has been positive. We expect to see growth and market share gains once we start ramping production in the fall of this year. Our super transport blade’s unique architecture generates significant footprint savings to our customers. This quarter we shipped product to a new customer for their DWDM transport show. This customer chose the super transport blade to allow them to take full advantage of a smaller footprint that opens up valuable real estate in their chassis. In fiscal 2009, the optical communications team introduced a number of new products. In addition to those I just mentioned, there are the photonically amplifier, the mini WSS that extends our ROADM leadership, the new pump laser for FTTx networks and a new submarine pump. We are encouraged by the positive customer feedback and we expect to ramp production of these new products in the December quarter. Current revenue from new products less than two years olds is approximately 25%. We expect to increase this percentage overtime with the ramp of these new products and additional product introductions. Our lasers business experienced sequentially flat revenue in Q4. We have received orders from customers who have resumed buying, given us confidence of stabilization and resumed growth in fiscal 2010. For example, we recently received a multimillion dollar order for our Q series lasers from a leading producer of machine tools in APAC. The customer chose our products over the competition because of her high power and superior processing results. Our pipeline for new laser products over the fiscal year is robust as we continue to invest in R&D. Our product development will continue to be focused on advanced solid state and fiber laser platforms. These new products when introduced are expected to increase our served available market by more than threefold by the end of the fiscal year. Finally, onto our advanced optical technology segment, this segment provides optical security solutions including brand protection, anti-counterfeiting for currency, transaction card authentication, custom optics for aerospace and defense and innovative custom collar solutions for helping manufacturers differentiate their products. Q4 was generally flat quarter-over-quarter. The diversity of products in AOT contributes to top line resiliency despite economic market conditions. Book-to-bill was greater than one for the third quarter in a row. Positive trends for this segment include increase 3D film releases, customers seeking more complex integrated design features to combat counterfeiting, utilizing multiple technologies and growth in aerospace. In Q4 JDSU was awarded a contract to serve as a supplier of authentication solutions to Mohammed Ali Enterprises for its merchandise. The solutions that JDSU has developed for Mohammed Ali utilizes digital and optical technologies to allow for easy identification of authorized products, limit product overruns, reduce unauthorized distribution and ensure correct royalty payments. Also this past July, the custom optics group of AOT was a recipient of the 2008 ITT Supplier Award. JDSU supplies coated lenses for use in ITT’s night vision goggles. The supplier award was received as a result of having an outstanding record of quality and service. AOT has maintained healthy operating margin above 37% for each quarter in fiscal 2009 despite economic challenges. The segment’s intellectual property and patents provides for unique products and solutions for customers. When we are designed into a customer, it’s usually for an extended period of time, providing for relative consistency of the operating model. As I conclude my formal remarks, I would like to thank our employees whose focus, commitment and tremendous efforts continue to advance JDSU towards our long term success. I’d also like to thank our customers, partners, vendors and long term shareholders for their continued support of JDSU. With that, I’ll hand the call over to Dave who will take you through the details of our financial performance in Q4 and fiscal year end 2009 and will discuss our Q1 outlook.
Dave Vellequette: Thank you, Tom. Before I start, please note that all numbers are non-GAAP unless I state otherwise. Fourth quarter revenue of $277 million was down 1.3% from the prior quarter and down 29.1% when compared to the fourth quarter of fiscal 2008. The sequential revenue decline was primarily in the CCOP segment. For fiscal Q4, test and measurement segment revenue represented 49% of total revenue as compared to 46% in the prior quarter. CCOP segment revenue represented 33% of total revenue compared to 36% in the prior quarter and AOT segment revenue represented 18% of total revenue, unchanged from the prior quarter. Fourth quarter gross margin of 42.3% was up from the previous quarter’s gross margin of 41.8% and up from fourth quarter fiscal 2008 gross margin of 48.9%. The fourth quarter gross margin reflects the positive impact from the segment mix as well as realizing benefits from our manufacturing cost reductions. Operating expenses for the fourth fiscal quarter of $121 million were down from the prior quarter’s $125.2 million and down over $30 million from the prior year’s $151.4 million. The lower operating expenses reflect reductions in discretionary spending, office consolidation, work week shutdowns and reductions in headcount. Due to our improved gross margins and lower operating expenses, our operating loss for the quarter of $3.8 million improved from the prior quarter’s operating loss of $7.8 million. We reported a net loss for the fourth quarter of $2.3 million or a loss of $0.01 per share. This compares to third quarter fiscal 2009 net loss of $6.9 million or a loss of $0.03 per share. For the full fiscal year, total revenue was $1.3 billion, down 15.4% from the prior year’s $1.53 billion. Gross margins for the full year were 42.8%, flat when compared to the prior fiscal year. Operating income for fiscal 2009 was $27.2 million or 2.1% of revenue, down from $77.7 million or 5.1% of revenue for fiscal 2008. The lower operating income was primarily due to lower revenue. Our net income for the year was $39 million or $0.18 per share, down from $114.9 million $0.50 per share for fiscal 2008. A detailed reconciliation of our non-GAAP results to our GAAP results is available in today’s press release. Our fourth-quarter non-GAAP results exclude among other items, amortization of acquired technology and intangibles of $17.8 million, a $12 million charge related to stock based compensation and an $18.5 million charge for restructuring and an impairment of goodwill from $4.8 million. Including the noted items, the fourth quarter fiscal 2009 GAAP net loss was $59.5 million or a loss of $0.28 per share which compares to prior year fourth quarter GAAP net loss of $29.8 million or a loss of $0.13 per share. For the full fiscal year, GAAP net loss was $866.4 million or a loss of $4.02 per share, which compares to a GAAP net loss of $21.7 million or a loss of $0.10 per share for fiscal year 2008. The net loss for fiscal 2009 included restructuring charges of $38.7 million and $759.8 million of impairment charges which were primarily associated with goodwill and intangibles. The impairments were primarily the results of the adverse impact of the current macroeconomic business environment on the company’s financial outlook and the overall decline in equity values, resulting in a decline in our own market capitalization. Now looking at revenue by region, America’s revenue of $139.3 million, 50.5% of total revenue, was up $22.2 million from the prior quarter. The increase was from North American service providers. EMEA revenue of $79.5 million, 28.8% of total revenue, was down approximately $16 million from the prior quarter. The decline was primarily due to a slowdown in demand from European service providers. Asia revenue was $57.3 million, 20.7% of total revenue, down $11 million from the prior quarter. The decline was mainly due to reduced demand from network equipment manufacturers. Moving to the segments, in the test and measurement segment, fourth quarter revenue of $135.5 million was up 4.9% from the previous quarter’s $129.2 million and down 20.5% from the previous year’s $170.5 million. Looking at the product portfolio, the increase in sequential revenue was primarily in our field services products and service assurance products where we saw a decline in revenue from our lab and production products. Book-to-bill for the quarter was greater than one. Fiscal Q4 gross margin for test and measurement of 55.4% was up compared to the prior quarter and below our targeted range of 57% to 61%, reflecting lower factory absorption and incremental costs associated with the transfer to our contract manufacturing sites. The test and measurement operating profit of $11.4 million or 8.4% of revenue increased when compared to the operating profit of $9.3 million or 7.2% of revenue in the prior quarter due to higher revenue and gross margin improvement. Now moving onto the test and measurement business model and the initiatives within the segment to achieve this model; first, we’ve been consolidating R&D sites from 19 down to 12. We expect the last site consolidation to be completed by the end of the current fiscal quarter. Second, we’re transitioning product lines to contract manufacturers which will reduce our manufacturing overhead. Benchmark has assumed our manufacturing activity in Indianapolis is on track to complete the transfer of production activities to their facilities next month. At the same time, benchmark is also transitioning various products from our Maryland facility to their facilities. This transition is on tracked and is expected to be completed in the fourth quarter of fiscal 2010. Also, we continue to focus on operating expense reductions through improved operating leverage, discretionary spend reductions and headcount reductions. Finally, the addition of the storage Network Tools business will result in incremental revenue, gross profit and operating expenses. From an operating profit standpoint, we expect this acquisition to be accretive starting in fiscal Q1, 2010. We maintain that the above initiatives and actions provide the structure to support sustainable operating margins between 20% and 23% at a quarterly revenue level of $175 million or greater. Now moving on to our CCOP segment, the breakout of the key metrics for optical communications and lasers is as follows. Optical communications revenue in fiscal Q4 was $79.3 million, down 10.9% when compared to the prior quarter’s revenue of $89 million which included approximately $3 million for the Nortel revenue recovery and down 45% when compared to the prior year’s $145.1 million. Revenue increased in nine of our top 15 customers, however, this was offset by lower ROADM revenue from a customer that continues to reduce its inventory investment. ROADM revenue declined to less than 25% of total optical revenue. Gross margin for the quarter was 17%, down from the prior quarter’s gross margin of 20.7%. As a reminder Q3 gross margin was favorably impacted by the Nortel revenue recovery. Not the benefit of the Nortel recovery, the gross margin was 17.4% in Q3. Book-to-bill was less than one for the quarter. ASP decline was approximately 3%, at the midpoint of our historical quarterly range of 2% to 4%. Looking at the product lines, products that grew quarter-over-quarter were tunables, amplifiers, and amplifier components such as pumps and passes. As noted above, revenue for ROADMS declined in Q4. That being said, in Q1 we have seen an increase in ROADM demand from several customers. Moving to the business model, our near term optical communications gross margin goal is for sustainable margins in the 25% to 30% range. We believe we can operate in this range by the end of fiscal 2010. Our gross margin improvement initiatives include moving to a more variable cost model and executing against our lean initiatives. We have made further progress against these initiatives with the successful transfer of our Shenzhen optical communications facility to Sanmina, transfer of our submarine manufacturing to Shenzhen and the transfer of our chip manufacturing capability from Colorado to our San Jose facility. We are also in the process of consolidating our Milpitas fab into an existing San Jose facility which we expect to complete before the end of September. In our laser business, fourth quarter revenue of $11.4 million was flat compared to the prior quarter. Book-to-bill was less than one for the quarter; however, we recently have seen some signs of recovery for this business as order rates have increased in Q1 when compared to last quarter. Operating loss for CCOP was $7.8 million. The improvements realized through manufacturing cost reductions and operating expense reductions were offset by the decline in revenue and lower factory absorption. We expect to realize the full benefit of the current manufacturing cost initiatives during the second fiscal quarter of FY ‘10 and that operating expenses will stay near the current levels. Now moving onto the CCOP business model, moving forward, we believe that they CCOP cost savings initiatives provide a structure that supports operating margins of 10% to 15% at revenue levels of $150 million or greater. For the advanced optical technologies or AOT segment, fiscal Q4 revenue was $50.8 million, down less than 1% compared to the prior quarter. We saw strength in our custom optics products which was offset by a decline in currency demand. As we’ve noted before, we expect the trending of this business to have some level of surges and ebbs which tend to correlate with a country’s GDP. Transaction card revenue remained stable. We expect to see this business trend upwards once credit is freed up and more credit cards are issued. AOT book-to-bill was greater than one for the quarter. Fiscal Q4 gross margin for our AOT business was 53.3%, up compared to fiscal Q3’s gross margin of 52.4% and up compared to year ago period’s gross margin of 50.6%. The improved gross margin was due to favorable product mix and improved operational execution. AOT operating profit for the quarter was $19.8 million or 39% of revenue, up from the prior quarter’s 37.9% of revenue. The improvement in operating margin was due primarily to the improved gross margin. Our targeted sustainable operating profit range for this segment is 34% to 37%. In the current quarter, we expect to incrementally increase our level of investment in R&D and sales and marketing for this segment. Moving to the balance sheet, for fiscal Q4 2009, the company was free cash flow positive $9.7 million. Total cash balance was $695.5 million, headcount as of August 7, 2009 was 4083 which includes approximately 100 new employees from the storage Network Tools acquisition. Moving onto our operating model, we’ve been able to improve our operating model with a reduction of manufacturing overhead and operating expenses. Our sustainable cost structure is such that we can now realize 10% operating margins when quarterly revenues are $390 million and gross margins are 46%. Since beginning of fiscal 2009 we have increased our ability to scale our manufacturing while lowering the cost structure associated with manufacturing. Today we’ve reduced our manufacturing overhead cost structure by more than $40 million per year and we’ve also lowered our operating expense run rate by more than $120 million per year. These savings are compared against our spending in the fourth quarter of fiscal 2008. For the first two quarters of fiscal 2010, our manufacturing overhead costs are expected to incrementally decline as we reduce the impact of transition costs and in the CommTest and CCOP segments. We will also continue to focus on reducing our operating expense structure in order to partially offset the incremental expenses associated with the storage Network Tools acquisition and our increased investment in the AOT segment. Our operating income and free cash flow breakeven range absent one time transition and restructuring costs remains $275 million to $285 million of revenue per quarter. Finally given the strength of our balance sheet, the breadth of our product portfolio and the geographic diversity of our customer base, we believe that the current market conditions provide us with a unique opportunity to increase our leadership position in the markets we serve. Now to our Q1 guidance, first some points to consider as you think about our financial performance over the coming quarters. Total company bookings for the first seven weeks of fiscal Q1 are ahead of the previous quarter’s bookings total through seven weeks. Storage Network Tools business revenue is forecasted to be between $6 million and $8 million in Q1. Total operating expenses are expected to increase approximately $3 million due primarily to the Storage Network Tools acquisition. Finally we expect our quarterly tax provision to range between $1 million and $3 million. Taking into consideration the factors about and based on our current visibility we expect first quarter revenue to be between $283 million and $300 million and non-GAAP operating margins to be between breakeven at 3%. Thank you and operator, we will now take questions.
Operator: Your first question comes from Mark Sue - RBC Capital Markets.
Mark Sue - RBC Capital Markets: Tom, from your commentary it seems you may be more inclined to add to your testing product portfolio, should we assume more acquisitions particularly maybe in wireless? Does it mean any subsequent optical communications divestitures in the future and then separately, just your high level thoughts on what the incremental opportunity maybe for JDSU as it relates to the broadband stimulus bill. If you could kind of have frame that for us that would be great. Thank you.
Tom Waechter: As you know, we have been pretty active in the M&A market. We continue to evaluate the market and we look that across all of our business units because we think there are opportunities out there across the Board. So wireless is an interesting area for us as I mentioned during the call that we do benefit on the fixed backhaul and back into the core network. We’re looking to see if there are opportunities where we can get directly involved in the wireless transmission test as well, so that is of interest to us. I think as far as the broadband stimulus packages, I think are really just starting to rollout in the U.S. in August. There are some stimulus packages also in Australia that we believe we’ll participate in, so we have stayed close to that situation. We think we’ll be able to benefit from some of the stimulus rollout as it starts happening here in the near future.
Operator: Your next question comes from Subu Subrahmanyan - Sanders Morris Harris Group.
Subu Subrahmanyan - Sanders Morris Harris Group: My question is related to optical comp. You’d mentioned inventory depletion by some of the customers. Does that seem to be complete at this point especially on the ROADM front and then if you look at your sequential growth guidance, obviously some of that is coming from the tools business addition, but it sounded like you were suggesting there’s probably more growth in test and measurement in the near term was Optical Comm. So I was just trying to understand that better.
Tom Waechter: I think as far as the Optical Comm and our customers with bleeding through their inventory. We do believe that has accelerated to some degree as we’ve looked at the last couple of months here and particularly in ROADMS, that was an area where a customer or two of ours, larger customers that we do high volume ROADM business with were definitely still working through some inventory on hand. We do see that starting to improve. I think it’s just a matter of watching that over the next couple of months. I think as far as sequential growth, as I think Dave mentioned we did have seen an up tick in orders in the first seven weeks of this fiscal Q1. We do see that across all businesses, but I would say that CommTest, especially North America for service providers is probably leading the charge as far as that improved order intake rate at this time.
Dave Vellequette: Subu, I did say that in Q1, we have seen an increase in ROADM demand from several customers, again in support of Tom’s comment.
Operator: Your next question comes from Michael Genovese - Soleil Securities.
Michael Genovese - Soleil Securities: First question on Asia, this looks like if I have all my numbers right, it looks like the third quarter in a row with a double digit percentage wise sequential decrease in sales in Asia. So can you just dive into that a little bit more and give us more detail on what’s going on there?
Tom Waechter: Well, primarily for this quarter, the decline in Asia was network equipment manufacturers. So our customers obviously supplying CCOP end customers. So as you saw from the CCOP revenue decline, that’s what’s been really driving the Asian revenue down. It’s been primarily in that segment.
Michael Genovese - Soleil Securities: Just a bigger question, I don’t really expect specific guidance on this, but you’ve said get back to $390 million in revenues to do a double digit operating margin. So without giving us a timeframe on that, can you just tell us in broad terms, how do you think you’ll get there? I mean do you think all parts of the business are going to increase in unison or we’re going to be looking at greater growth in test and measurement and can you give us any indication of how far out you think this $390 million in revenues might be?
Dave Vellequette: We haven’t talked about our timeline as you noted, but what I would note is as I went through my part, I talked about $175 million of revenue in the test and measurement and what that could contribute. I talked about $150 million of revenue and operating profit in the CCOP and then the AOT would make up the majority of the rest of the revenue and basically for that type of a weighting and that’s why we highlight the gross margin being 46%. Those combined are what will drive us to that 10%. That’s down like from last quarter. For the last previous quarters, we’ve been talking about a model at $400 million. So the point we’re trying to make there is we’ve brought down that level, granted only $10 million of top line, but that the structural model of the company now has reduced the revenue level required to get to 10% operating income.
Michael Genovese - Soleil Securities: Just the last follow-up on that though. I mean to get those kind of test and measurement numbers seem fairly easy if the overall market continues to recover, whereas on the optical side, you’re talking about revenues on a quarterly basis being 60% higher than they just were. I’m just wondering, do you think that the market will be that strong over the next several years or do you expect to gain share? How do you grow revenues 60% from where they are right now?
Dave Vellequette: Well, when I first look back is that Q1 FY ‘09 the revenues for CCOP were $162 million. So they’re actually above that level and as we have noted before, the laser business has dropped by 50% from where it was and the optical accounts business has dropped substantially from where it was. So we’re not really giving guidance about the specific pieces of it. We noted that in the quarter we’re in that book-to-bill is improving and as we progress through the quarters, we’ll talk more about how we’re growing and how we’re getting there.
Tom Waechter: I think we noted that we have quite a few new products that we released in the December quarter. We expect some good ramp on tunable XFP, the Super Transport Blade. We’re just starting to get those out to market. So we do expect those to be, they have been well received so far and we do expect those to ramp, especially if the business environment improves.
Operator: Your next question comes from Paul Bonenfant - Morgan Keegan.
Paul Bonenfant - Morgan Keegan: My first question is a housekeeping one. I’m wondering if you had any 10% customers in the quarter and if you could disclose for us who the 10% customer was, last quarter as mentioned in your 10-Q?
Dave Vellequette: Actually, we don’t disclose the customers and we didn’t have any this quarter.
Paul Bonenfant - Morgan Keegan: Now on to substantive questions, you’ve reiterated your operating income and free cash flow breakeven at $275 million to $285 million. This is unchanged, although you’ve reduced the top line for your operating model by $10 million. I’m wondering with the additional cost reductions in the quarter, why is this top line number not coming down or should we expect it to comedown in future quarters?
Dave Vellequette: On the breakeven?
Paul Bonenfant - Morgan Keegan: Yes.
Dave Vellequette: As we get to future quarters, we’ll look at how the model is shaping up, how the new products as Tom had mentioned are contributing and those would be factors that we look at to see if we should be lowering that range.
Paul Bonenfant - Morgan Keegan: Last question, optical was down fairly significantly this quarter. Yet it sounds like your pricing declines were inline with your expectations. Aside from the slow up tick on the ROADM in the quarter, are you seeing any share shifts either temporary or otherwise as a result of maybe your manufacturing transitions and on the CommTest side, the up tick in the revenue, do you have a sense for whether that’s pushed out orders that are starting to return versus new business?
Tom Waechter: Let me first start with the transition. We think the transition went really well with the Sanmina factory. The great part about that is brought in a very seasoned CM and we were able to keep our workforce and so these are folks that already knew our products, knew what to do. So that worked out very well. In the markets that we serve, we don’t believe we are losing share. That being said, in the ROADM market, where we are not in all designs at this time and we’re getting quelled in fact in the 50 gigahertz space. The total ROADM market you would expect, we were at 60%, 75% market share. We expected that to decline overtime and we’re now expanding our penetration in ROADMS into the 50 gigahertz.
Dave Vellequette: I think, Paul to address your question on CommTest and the order intake. I think as you know especially the service provider in North America had really setup a budgeting process this year that was more quarter based then maybe in the past and more back end loaded. So we’re just actually, I think starting to see them release more of those quarterly budgets and we expect it to be spend to be higher in the second half of the year than the first half of the calendar year.
Operator: Your next question comes from Ajit Pai - Thomas Weisel Partners.
Ajit Pai - Thomas Weisel Partners: Couple of quick questions, I think the first one is to do with your business portfolio right now. When you look at the different segments that you have and you also sort of provided us that some indication of what the operating models for the segments look like at data 70 levels, could give us some indication as to how you prioritize acquisitions in the future across. I think you did mention you’re pretty active right now in M&A across those businesses, but is there a business that you want to scale much more than the others and what’s the target mix you’re looking at maybe a couple years out when you reach those metrics that you talked about in terms of operating margin and quarterly revenue run rate?
Tom Waechter: As I said earlier, we are looking across all segments really the prioritization or focus we place is to make sure it fits into our longer term strategy and into the business model that we set out in front of us and to make sure that the acquisitions are accretive and I think the most recent acquisition is a good example of that process and focus that we have.
Ajit Pai - Thomas Weisel Partners: Right, but when you’re looking at target model that you provided for optical communications I think another analyst asked about that as well it’s a 60% to the rise from where that revenue level is right now. Would that mean that you attain your target operating model purely organically or it also implies that you intend to make more acquisitions in that business?
Tom Waechter: I think the models that we put out in front of ourselves there are primarily organic growth models.
Ajit Pai - Thomas Weisel Partners: You talked about the ROADM business but then if you look outside of ROADM at the rest of the components, just the implication that you expected share losses on the ROADM side but the other businesses are holding up pretty okay. Is it fair to say that you don’t believe on the optical communications side that your non-ROADM business that you are losing share, is it fair to say you’re not losing share?
Tom Waechter: Yes, we don’t believe we are losing share on the other components that make up our portfolio there in addition to the ROADM.
Ajit Pai - Thomas Weisel Partners: So you believe that the inventory work down is what’s responsible for the sequential declines in revenue and as the depletion of inventory at your customers is over, you should see a fairly strong rebound at some point. Is that fair, that’s what you are assuming?
Tom Waechter: We believe that primarily the reduction we saw was from ROADMS, the major dollar reduction and we do believe as the inventory is worked off by that those customers that we will see some healthy growth from that reversing itself.
Operator: Your next question comes from Jeff Evenson - Sanford Bernstein.
Jeff Evenson - Sanford Bernstein: Two questions related to growth. First, you mentioned in the script that you are introducing new laser products which will triple your addressable market. Wondering if you could give us a bit more color on those and perhaps talk about where they are in the transition from gas lasers to solid state lasers and what the competitive advantage of your products might be. Then second as you look out a bit further, the Verizon CTO has talked about replacing some router capabilities with optical and wondering if that is an opportunity for you on the ROADM or other fronts.
Dave Vellequette: I think first on the lasers as we mentioned, a big part of our development focus is on the fiber lasers and we do see that some of the advantage that we believe we will have with these products is both on performance precision and accuracy of the laser and then also power consumption. We think those are all advantages for us as we go forward and we’re just starting to get some of those products through the development cycle and into the market. I think as far as the…
Jeff Evenson - Sanford Bernstein: Are you making the specialty fiber for those yourself?
Tom Waechter: No, we’re not. We buy the fiber itself.
Jeff Evenson - Sanford Bernstein: On the routers and optical?
Tom Waechter: I believe that there are opportunities for us on the optical routers. I wouldn’t comment specifically on anyone customer, but as they transition, I do believe there’s an opportunities there for us with the product offerings that we have.
Operator: Ladies and gentlemen, this concludes the question-and-answer session for today’s call. I’d now like to turn the call over to Mr. Tom Waechter for any closing remarks.
Tom Waechter: Think you operator. As our call concludes, I’d like to reiterate some key takeaways as we exit fiscal 2009 and begin a new chapter for JDSU in 2010. First, we are seeing early signs of market stabilization in our CommTest and laser businesses and we are optimistic for growth in fiscal 2010. There has been a tremendous amount of work at JDSU over the course of the year to reduce our operating costs and move to a variable manufacturing cost structure, so much, so that we were able to lower our quarterly free cash flow breakeven by over $75 million and improve our operating model and we introduced over 100 new products this year as our innovation engine accelerated. 2010 will be a new chapter for the company with our strong product portfolio, solid balance sheet, improved business model and our focused and dedicated employees. JDSU as well positioned for growth as the economy rebounds. Thanks again for joining us today. We appreciate your taking the time and for your interest in JDSU. Have a great evening.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect.